Operator: Hello, and welcome to today's Tyler Technologies Third Quarter 2017 Conference Call. Your host for today's call is John Marr, Chairman and CEO of Tyler Technologies. [Operator Instructions]. And as a reminder, this conference is being recorded today, October 26, 2017. I would like to turn the call over to Mr. Marr. Please go ahead.
John Marr: Thank you, and welcome to our third quarter 2017 earnings call. With me on the call today, are Lynn Moore, our President; and Brian Miller, our Chief Financial Officer. First, I'd like to Brian to give the safe harbor statement, next Lynn will have some preliminary medicaments, then Brian will review the details of our third quarter results and 2017 guidance. Then I'll have some final comments, and we'll take your questions. Brian?
Brian Miller: Thanks, John. During the course of this conference call, management may make statements that provide information other than historical information and may include projections concerning the company's future prospects, revenues, expenses and profits. Such statements are considered forward-looking statements under the safe harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties, which could cause actual results to differ materially from these projections. We refer to our Form 10-K and other SEC filings for more information on those risks. Please note that all growth comparisons we make on the call today will relate to the corresponding period of last year unless we specify otherwise. Lynn?
Lynn Moore: Thanks, Brian. Tyler executed very well in the third quarter and delivered solid earnings that were in line with our expectations. Even as we experienced a high level of subscriptions in our new business mix, we achieved the highest quarterly non-GAAP operating margin in our history at 29.2%. Subscriptions was, once again, our fastest growing revenue line, up 22%. Within subscription revenues, e-filing revenues rose 26%, including our first revenues from research Illinois. Going back to the beginning of 2010, our subscription revenues have grown more than 20% in 30 of the last 31 quarters. Total recurring revenue from maintenance and subscriptions grew 14% and comprised 64% of total revenue. Bookings for the quarter declined 8% on a digital comparison to the third quarter of 2016. Bookings in last year's third quarter included approximately $72 million from the 4-year extension of our e-filing contract with Texas. Compared to bookings, excluding the Texas e-file renewal, bookings this quarter rose 24%. Our quarter-end backlog grew 12% to nearly $1.1 billion. Similar to the second quarter this year, our mix of new software contracts had a high proportion of subscription arrangements, with cloud contracts comprising about half of our new deal mix. The total contract value of new software subscription contracts signed in the quarter doubled in value from last year's third quarter. Our largest new subscription deal signed in Q3 included Clayton County Schools in Georgia for our Munis ERP and ExecuTime solutions, valued at approximately $7.5 million; contract with Island and Independent for all Munis ERP solution, each valued at approximately $5 million; contracts with Tennessee, New Mexico and Summer County Schools in Tennessee for our Munis ERP solution, a multi-suite arrangements with New Mexico for our Munis ERP, EnerGov and Tyler instant manager solutions; and Kyle, Texas for our Incode ERP solution. Significant on-premise licenses deals signed during the quarter, each with a total contract value of $1 million or more included multi-suite arrangements with Georgia for case management, Incode ERP and solutions; Dover Delaware for our Munis ERP, ExecuTime, EnerGov solutions along with appraisal services; County Georgia for Public Safety and solutions; and County North Carolina for our Munis ERP and EnerGov solutions. We also signed significant on-premises license deals for on Public Safety solutions with Kentucky and Burlington County New Jersey and licensed contracts for our Munis ERP solution with Washington, Odyssey Texas and Paris Louisiana. I mentioned earlier that our subscription revenues for the third quarter included our first revenues from research Illinois, which is an extension of our e-filing solution. During the quarter, we signed an amendment with the administrative office of the Illinois Courts, a current state-wide e-filing customer, for our first research portal. Under the 4-year, $12 million contract, Tyler is providing a web-based portal that provides immediate and secure access to consolidate database of case information. The solution provides a simple, consistent way to view and obtain case records and documents from counties across the state. It integrates with multiple case manager systems to share that information and provides an efficient way for attorneys, judges and other constituents to access important case records and documents at any time and on any device. The contract also gives us the ability to offer additional value-added features and services, and we expect to offer additional attorney services on a subscription or transaction fee basis in the future. We will look to expand our research offerings into other states where we provide e-filing solutions. Research and our online dispute resolution offering, both provide attractive, long-term opportunities for recurring revenue growth and margin expansion. Finally, our bookings this quarter included extensions of our state-wide e-filing contracts with courts in Indiana and Minnesota, with Minnesota converting to a fixed fee arrangement. Now I'd like to Brian to write more detail on the results for the quarter and our updated annual guidance for 2017.
Brian Miller: Thanks, Lynn. Yesterday, Tyler Technologies reported its results for the third quarter ended September 30, 2017. I'm going to provide some additional data on the quarter's performance and update our guidance for 2017 and then John will have some additional comments. In our earnings release, we have included non-GAAP measures that we believe facilitate understanding of our results and comparisons with peers in the software industry. These measures exclude write-downs of acquisition-related deferred revenue and acquired leases, share-based compensation expense, the employer portion of payroll taxes on employee-stock transactions and amortization of acquired intangibles. A reconciliation of GAAP to non-GAAP measures is provided in our earnings release. GAAP revenues for the third quarter were $214.1 million, up 10.1%. On a non-GAAP basis, revenues were $214.4 million, up 8.4%. Software license and royalties revenues were essentially flat as our new software contract mix had a high proportion of subscription deals for the second conservative quarter. Subscription revenues increased 21.6%. We added 94 new subscription-based arrangements and converted 15 existing on-premises clients, representing approximately $42.5 million in total contract value. In Q3 of last year, we added 50 new subscription-based arrangements and had 18 on-premises conversions, representing approximately $22.7 million in total contract value. SaaS clients represented approximately 49% of our new software contracts in the quarter compared to 28% in the prior year quarter. This is the second consecutive quarter that the number of new SaaS deals was essentially a 50-50 split with traditional license deals. SaaS contract value comprised 51% of the total new software contract value signed this quarter compared to 29% in Q3 last year. The value-weighted average-term of new SaaS contracts this quarter was 5.8 years compared to 5.6 years in last year's third quarter. Transaction-based revenues from e-filing and online payments, which are included in subscriptions, increased 22.9% to $15.4 million from $12.5 million last year. That amount includes e-filing revenue of $11.9 million this quarter, up 25.8% over last year. Cash flow from operations was $92.8 million compared to $79.2 million last year, up 17.2%. Free cash flow, which is calculated as cash from operations less capital expenditures, was $85.2 million compared to $71.6 million. Our CapEx for the quarter was $7.6 million, including $3.6 million related to real estate compared to total CapEx of $7.6 million in Q3 of last year. We ended the quarter with a $186.3 million in cash and investments and no outstanding debt. Day sales outstanding and accounts receivable was 87 days at both September 30, 2017 and 2016. Our backlog at the end of the quarter was $1.1 billion, up 12.2%. Software-related backlog, which excludes backlog from appraisal services contracts, was $1 billion, a 14.2% increase. Backlog included $260.5 million of maintenance compared to $236.2 million a year ago. Subscription backlog was $419.1 million compared to $337.5 million last year and includes approximately $130 million related to 60 e-filing contracts. Our bookings for the quarter, which are calculated from the change in backlog plus non-GAAP revenues, were approximately $246 million, a decrease of 7.5% from Q3 of 2016. We had a difficult comparison to last year's third quarter, which included the e-file Texas renewal of approximately $72 million. Excluding the e-file Texas renewal from Q3 of 2016, bookings grew 23.6%. We also saw a handful of deals push out of the third quarter because profits were delayed in areas affected by hurricanes, Harvey and Irma. For the trailing 12 months, bookings were approximately $932 million, a 10% increase. Note that we have posted a spreadsheet detailing our quarterly bookings calculations on the Investor Relations section of our website at www. under the Financials and Annual Report tab. We signed 32 new contracts in the third quarter that included software licenses greater than $100,000, and those contracts had an average license of $381,000 compared to 58 new contracts with an average license value of $362,000 in the third quarter of 2016. As noted earlier, significant increases in our clients choosing subscription arrangements versus on-promises license contract resulted in the decrease. Our revised guidance for the full year of 2017 is as follows. We currently expect 2017 GAAP revenues will be between $840 million and $848 million, and non-GAAP revenues will be between $841 million and $849 million. We expect 2017 GAAP diluted EPS will be approximately $3.46 to $3.52 and may vary significantly due to the impact of stock option exercises on the GAAP effective tax rate under ASU 2016-09. We expect 2017 non-GAAP diluted EPS will be approximately $3.86 to $3.92. For the year, estimated pretax noncash share-based compensation expenses is expected to be approximately $38 million. We expect R&D expense for the year will be approximately $48 million to $49 million. Fully diluted shares for the year are expected to be between 39.3 million and 39.6 million shares. GAAP earnings per share assumes an estimated annual effective tax rate of 14% after discrete tax items and includes approximately $38 million of discrete tax benefits related to share-based compensation. We estimate the non-GAAP annual tax rate for 2017 to be approximately 35.0%. This rate was lowered from 35.5% to reflect the estimated benefit of the R&D tax credit not expected at the beginning of the year. Beginning in 2017, Tyler is adjusting its non-GAAP financial income using a tax rate equal to Tyler's annual estimated tax rate on non-GAAP income. This rate is based on Tyler's estimated annual GAAP income tax rate forecast, adjusted that account for items that excluded from GAAP income in calculating Tyler's non-GAAP income as well as significant nonrecurring tax adjustments. The non-GAAP tax rate used in future periods will be reviewed periodically to determine whether it remains appropriate in consideration of factors, including Tyler's periodic effective tax rate calculating in accordance with GAAP. Changes resulting from tax legislation, changes in the geographic mix of revenues and expenses and other factors deemed significant. We expect our total capital expenditures will be approximately $53 million to $55 million for the year, including approximately $24 million related to real estate. Approximately $16 million of our 2017 CapEx is related to our cloud business, which includes hosted SaaS solutions and e-filing, including assets to accommodate future growth. Total depreciation and amortization is expected to be approximately $50 million, including approximately $36 million of amortization of intangibles. Now I'd to turn the call back over to John for his further comments.
John Marr: Thanks, Brian. This was another strong quarter for Tyler, and we're pleased that we met our earnings expectation with our highest quarterly non-GAAP operating margin ever. We achieved these results even while facing a revenue headwind from the second consecutive quarter, in which, we've had a high level of subscription contracts and our new contract mix. As we noted earlier, approximately half of our new software contracts this quarter, both in terms of the number of deals and the total contract value, were cloud-based subscription arrangements. The total contract value for new SaaS software contracts of $36 million was double that of last year's third quarter and included 8 new SaaS contracts valued at more than $1 million each. Although the increase in cloud sales over the last two quarters is a headwind to short-term revenue and earnings growth, these new cloud contracts will drive higher recurring revenues going forward. We're pleased that so many of our new clients are selecting Tyler's solutions, whether they choose to run on-premise or in the Tyler cloud. Our win rates and bookings remain good, reflecting an active market in a strong competitive position. There are variety of factors that influence an individual client's decision on whether to purchase a license and run on-premise or enter into subscription arrangements with us. And we believe that in most cases, we have a limited ability to direct that decision. We're certainly happy to win new clients regardless of which model they choose, and we clearly have the strength to manage any short-term pressures on revenues and earnings that come with a shift toward more subscription business. While this is a second consecutive quarter with a meaningful shift in the mix of new business towards subscription, we do expect them mix to vary significantly from quarter to quarter. We're also pleased with the continued momentum in our subscription revenues from e-filing and other transaction-based offerings. We've continue to add new e-file clients and our extending our relationships with courts and attorneys by adding new capabilities and services such as research and online dispute resolution. We're gratified that our e-filing clients continue to renew and extend those arrangements often well before the expiration of the initial terms as Minnesota and Indiana have recently done. As we've discussed previously, we are investing at a high level in product development initiatives, particularly respect to enhancing our public safety products to improve our competitiveness and broaden our addressable market. These projects continue to progress on-schedule, and the marketplace is reacting favorably to our vision for public safety in the Tyler Alliance. Finally, our thoughts and best wishes for a speedy recovery are with more than 800 Tyler client sites that were affected by hurricanes, Harvey, Irma and Maria. I'd also like to express my appreciation to the many Tyler professionals who've gone the extra mile to support these clients. Prior to each storm, our disaster recovery team proactively reached out to the 269 Tyler clients with contracted disaster recovery services that were in the path of a storm, including sites like independent school districts in Texas and the government of the United States Virgin Islands. Our teams continue to work with the affected clients to make sure they can continue to manage their critical business processes. Lynn and I have heard from a number of clients who complemented Tyler on our dedication and performance to these disasters in our performance in situations like these make Tyler a trusted partner for local governments. Now I'll be happy to take questions.
Operator: [Operator Instructions]. Our first question will come from Kirk Evercore ISI.
Stewart Materne: John, wanted to follow up on the last comment you made to serve on the split or the decisions of clients going either for SaaS or license, and I'm sure Brian has some thoughts on this. But I guess 2 questions around that. When you guys think about the lifetime value of the client, does it change if go SaaS? Meaning, are you gaining not only more revenue dollars, but more gross profit dollars over say, a 5 or 10-year period if they go with the license option? And then Brian for you. When you're contemplating guidance in the fourth quarter we think out to 2018, is 50% sort of the new baseline that you're going to use just to, I guess potentially be a little bit more, I guess conservative around that? I think understand I guess I'm just trying to get your thoughts on how you're thinking about integrating that into your guidance process?
John Marr: Sure. Well, we certainly think that the long-term value of our clients is very significant regardless of how they become a Tyler client. Our maintenance agreements are substantial in dollars and in probably the highest margin revenue that we have as a company. So maybe unlike some industries or companies, the delta between on-premise and cloud is probably narrower with us and again, in some other places. Given the attrition is incredibly low, that the annual dollar volumes pretty high and the incremental cost to support clients is not that significant. So long-term value of on-premise traditional clients is very high and certainly approaches cloud clients. There is short-term pressure obviously on revenues as was seen in the second half of this year, and that adoption seems to be higher. There is no question if revenues are higher going forward, the incremental revenues are mostly attributable to the cloud itself, our facilities and the people that manage those facilities and the investment on those. There are high capital investments in hosting these clients, in incremental headcounts to support those clients as well. So revenues are significantly higher after the initial engagement between 50% and 100% higher depending on the arrangement. The margins on the incremental revenue would be lower than on the base maintenance agreement because of those capital investments and the additional headcount. But the incremental value probably after say, the fourth year or so is greater for cloud customers.
Brian Miller: Yes, on your question regarding guidance. Certainly, in the short term, it's a little bit more of a specific identification buildup of that guidance. So as we look out over the next quarter, most of the deals are pretty far in the pipeline and fall either in the SaaS category or in the license category, and we know where that is. There are always some that decide pretty late in the process and even a handful that will select a Tyler very late in the quarter, but haven't decided yet, which model they're going to adopt the software under. So that kind of accounts for the range of revenues and earnings in the guidance. It's a little clear looking out to the next quarter than what it be for the year. And so that's why we start out the year with a fairly broad range. And I think that given our experience both -- with recent quarters and looking at the pipeline, we believe we'd expect a higher percentage of SaaS in next year's number, but our range of guidance will take that into account that underlying assumption, I would expect would have a higher percentage of SaaS in it.
Operator: Our next question will come from Ken Wong of Citigroup.
Kenneth Wong: May be to put a finer point on Kirk's question in terms of guidance in the subscription mix. I know that's can't be a fairly broad range, but should we expect kind of those deals that are on the going forward? You guys perhaps maybe put those in the cloud camp versus the perpetual camp? Just maybe help us kind of think through what you guys seeing there?
John Marr: I think that the deals that we don't know, which way they're going to go. Probably, we put a higher proportion of those in the cloud category given more recent experience. So I don't know that 50-50 is the new norm, but it's probably a little bit above where the norm will be. But, yes, we would expect that trend would continue towards more cloud business.
Kenneth Wong: And I guess..
Lynn Moore: And I think Ken, this is Lynn Moore. I think it's important to note too is that a lot of times, it's not so much on the they may got with an RFP. And throughout the process, its geared towards on-premise, and it's oftentimes not until the very last minute during contracting that decision is made. And I think to echo Brian's comment, I don't think 50-50 is something we will be the new norm. I do think over the last, if you sort of look at trend line over the last, I don't know few years, it's certainly is ticking up, but there will be variations quarter-to-quarter, but it does make it a little difficult for us to predict some of these deals.
Kenneth Wong: Got it. And then maybe a follow up on new world. You guys talked about being able to compete for kind of higher tier deal once you get some added functionality and kind of build-out capacity on that product. Are we still on track for for that to be a fiscal '18 type event in terms of getting all that capability into the product?
John Marr: It's a long process. So there is no kind of switch in terms of when all of a sudden we play in larger sites. The win rates have already elevated, which is pretty impressive that in the short period of time, both we've delivered. And I think the expectation and the credibility what's underdevelopment is already affecting decisions pretty significantly. The win rates are meaningfully elevated from where they were. And it will be a creep up more than splash into a new tier of sizes. So to answer to your question, yes, I would expect we'd have some deals that are in the higher range than what we would have had next year, but it won't be as if all of once we become a leader in that particular space that could be a multiyear process to achieve that.
Operator: Our next question will come from Brian Kinstlinger of Maxim Group.
Brian Kinstlinger: I wanted to dig into the Illinois contract just announced this morning. It seems like in the value to customers is pretty high and differentiates you from your peers. So what's the process now for selling this offering into other states? I know you're really talking to other state customers and the sales cycle look like? And then I have a 1 follow up?
Lynn Moore: Yes, Brian. I think one thing that's important to note about this research Illinois is that it's a new recurring revenue stream, both in delivering the portal itself, but also in attorney services. It's an investment that we've been making for some time. We talk a lot over the years about making discretionary investments either internal expensed R&D or new acquisitions. And this is one of those areas we're certainly happy to see start seeing the benefit. It was originally sort of constructed for the County by County states, which as you know, there is 10 County by County states throughout the country, but we are also seeing some interest in some of them more consolidated unified states. I think the value proposition for the unified states is not as high, but there is interest there. We are talking with some of the states right now, something that actively pursuing. It's a revenue stream that we're excited about. We look forward to. But just like as John mentioned in our Public Safety deals, you know the markets, you followed us for sometime, things takes some time, but it is something that we look to expand throughout other states where we have a presence.
Brian Kinstlinger: Great. And then my follow up. Is the $3 million price based on volume mix because is a price for what essentially is a portal or piece of software?
Lynn Moore: Yes. It's a fixed price. And it's really based on the size of the state and the volume of the e-filing. I don't want to go into more specifics there, but yes, it's just a fixed fee.
John Marr: And then there would be potentially additional -- the value-added services to attorneys would be on a transaction or a subscription kind of basis. So those would be more volume driven.
Operator: Our next question will come from Brent Bracelin of KeyBanc Capital Markets.
Brent Bracelin: Brian for you. I wanted to go back to the subscription model impact. Here are 2 specific questions. One is, as you think about the 2 segments, where subscription headwind would have an impact, it looks like software license revenue and software services are the 2 segments that were most impacted. I think that's 31% of the business. Is that the right way we should think about if a customer moves to subscription, those 2 segments will be impacted going forward? And then I have 1 follow up.
Brian Miller: Really, mostly just the license line. The services are really pretty much the same regardless of which model the customer implements under. In the past, we originally -- in the earlier days of the subscription model, a lot of clients bundled the services into the subscription arrangements, that now virtually all of them contract for the services separately and pay those as they incurred. So there is not really a difference between the 2 models on this services line. It's really just lower license revenues and higher subscription revenues.
Lynn Moore: And maintenance. So maintenance revenues are recognized in the first year to generally carved out of the license fee, but you would see a modest reduction in maintenance, a larger reduction in license fees and then an uptick in the recurring revenue on the subscription side.
Brent Bracelin: Completely make sense there. And then just as a follow up. Typically, as you kind of see these transitions from perpetual to kind of subscription, we also see a build up of a deferred revenue on the balance sheet. And looks like deferred revenue was actually down 2% sequentially. It was up only 3% year-over-year. Walk me through the components of the subscription revenue and potential buildup on the balance sheet? Why decline sequentially this quarter even with the mixed shift? And how should we kind of think about the components there of what would -- I would normally think would be a of deferred revenue?
John Marr: Yes, it's just seasonality. So by far, the largest renewal cycle for maintenance is June, July. They in June and pay in July usually. That's a big fiscal year calendar event for local government in most states in the country. So you get a huge renewal. That's a big spike in the deferred revenue and then you had 3 months runoff from that. So that's the sequential decline, but year-over-year you won't see that.
Brent Bracelin: Just more maintenance timing related of those renewals to do with subscription mix?
John Marr: Yes. Subscription renewals. Right. That's correct.
Operator: Our next question will come from Jonathan Ho with William Blair & Company.
Jonathan Ho: I just wanted to start out with a question around Harvey and Irma. Whether you could maybe give us a sense of the magnitude of the impact from some of the deals that were delayed there and perhaps the timing on when could be potentially recognized?
John Marr: Yes. It was a handful of deals, maybe a half a dozen or so in specific sites that we were pretty far in negotiations and would expect them to signed in Q3 3 and they pushed into Q4, really doesn't effect the year number. It's a little bit of an effect on Q3, and it's probably in the order of $5 million, $6 million of total contract value.
Jonathan Ho: Got it. And then on -- in terms of the SaaS headwind, I just wanted to maybe understand if you guys could give us some preliminary thoughts on how we should be thinking about 2018 revenue growth? I know you guys don't really give guidance on this early on, but may be that will be helpful for us just to understand how to think about that for next year?
John Marr: That will be the next call, Jonathan.
Brian Miller: Yes. We'll wait for the next call to give guidance for '18. There is never just because of the new year comes in, it doesn't all of a sudden indicate some big pivot and growth rates. We've talked about a number of different investments we're making to accelerate the growth rate. We're happy with the research Illinois ideal as an indication of the new revenue stream that was one of many investments we're making that we believe will accelerate that growth rate overtime. All of these are long-term processes, so that we'll have few of those things kick-in, at least modestly next year and hopefully contribute to a trend in that direction. But again, a new year won't bring any significant change in growth rates, but I think over the next several years, that the investments we're making and some of these acquisitions we've done that are more strategic of nature, we're convinced will contribute to an acceleration of the growth rate overtime.
Operator: Our next question will come from Tim Klasell with Northland Securities.
Timothy Klasell: First question. On the hurricane side. Clearly, that impacted a lot of your customers. And has that caused may be a more rapid change inside of what they're thinking maybe going to a SaaS-type delivery given the more robust back-office nature of having hosted? Are you seeing more of your customers think about going to SaaS faster because of that -- because of those events?
John Marr: I think it's too early to probably know that. There are literally still recovering obviously. I think your point makes sense that we have multiple cloud facilities. They have from one to the other. And I think the level of redundancy and availability that we can provide is elevated from what an individual site can do for itself. So we may see that, but I think it's certainly too early to know at this point in time. We do offer disaster recovery services to on-premise clients and that's what we referred to in the prepared remarks, where we've had a number of sites to disaster. We have their databases and their applications. We retrieve those regularly so that they are fresh, and we're to spend those up to rapidly and give them availability. And so we did have a number of those occur. So we do have services to make them or to provide them with higher availability. But I would agree that the availabilities is greater than cloud, and we may see that influence decisions, but it's too early to tell.
Timothy Klasell: Okay. Great, great. And then sort of related question. Your conversions from on-premise to SaaS have been occurring at a fairly steady rate recently. Is there anything that you would see that might change that to either elevated or to decrease it? And is it normally sort of continues to be a -- at the time of a big systems upgraded, any of that changing? And sort of for you Brian. If that were to accelerate, what would be that -- what would be the financial impact and you sort of walk us through that?
John Marr: I don't think there's a big change. It's been pretty steady. If there is a change, it might be a modest uptick. I don't see it declining. It is available in or Tyler offers the cloud basically on all of our enterprise apps now, whereas not too many years ago, it was on originally more Munis and some of the others. So the uptick could come from just more availability across our enterprise applications. So it would probably up some light, but I don't think you'd see a real significant shift there. But we've obviously still got a much larger on-promise customer base than cloud-base, and I think overtime that will happen. In terms of the catalyst for it, you're obviously with their applications when they switch over to the cloud, there is 2 major catalyst. One is our turnover or usually retirement, and leadership in the IT side that's been maintaining the system. We're now a trusted partner. And as they bring in new professionals, they want us to play a larger role and reduce that exposure. And the other catalyst would be often that it's time for a major investment in their hardware infrastructure, and they can minimize that and basically justify the higher spend with us by not having to basically reinvest in their own facility.
Brian Miller: And the financial impacts. What the new hosted or subscription rate is for previous on-premises customer certainly vary depending upon how they've been a customer. But typically, it's an uplift of anywhere from 50% to 100% over what they were paying in maintenance. So it's a significant increase in the revenues to us. But the customer would also find deep value in that given that they would have jobs that wouldn't have to fill or hardware they wouldn't have to replace. So it's a strong value proposition for both of us.
Operator: Our next question will come from Charlie Strauzer bit CJS Securities.
Charles Strauzer: Couple of questions for you. I one question and really on the newer offerings like the research portal and some of the e-filing's as well in the competitive environment that you're seeing there, the kind of different competitor that are going up against in those areas. And are you seeing more competitors coming into the marketplace given your success there?
Lynn Moore: Yes, Charlie. This is Lynn. I don't know the competitive landscape is changed significantly. I think too when you look at the research Illinois portal, that's a totally new offering. That's a new offering we going back couple of years had thought about, had invested in. You really need to have the strength and capability that we have with having our court systems in either in the state-wide deals or in the county by county as well as our e-filing system. So that to me is a little bit of a unique opportunity right now.
Charles Strauzer: Do you the proprietary advantage like the research portal given you said that you have the court system in place? Are you basically hosting all the data or the documents, or is a something that's a glaring software on top of existing infrastructure there?
John Marr: I think the competitive advantage is our competitive advantage throughout the entire courts sector and us being the trusted and preferred e-filing vendor and part of what we're trying to do with this like to all clients try to continue to drive more and more volume to maintain that competitive advantage. So that's not to say that aren't competitors out there that could potentially get into this market like everything else we keep our eyes out for that. But I think right now competitive advantages really our strength in entire offering.
Brian Miller: And what it enhances our offering and makes it that much more comprehensive. So we have a case management system and then we have the e-file. Could they use someone for something like research? Yes. But we already -- we don't have the partnership. We have access to the information, we certainly have an advantage. The online dispute resolution, which would be new to us as well. And as we can -- our objective is as we add, there are not just new revenue streams, there are incremental value and creative campaigns of relationship that our customers are going to look to as a good partner.
Operator: Our next question will come from Alex Zukin of Piper Jaffray.
Aleksandr Zukin: I have just a few. Maybe first for John or Lynn. Can you guys talk about the performance in the quarter versus your internal expectations for -- on a bookings basis? And particularly, what drove this strength if wasn't expectations in light of a couple of million business getting pushed out of the quarter due to the hurricane?
Lynn Moore: These quarters are fluid, and this is a quarter where the performance is good, late in a lot of these deals came in. SaaS deals do come with multiyear arrangements. So help elevate bookings in backlog. And so that mix drove that to some degree as well, but win rates remain elevated. They've improved in some of the areas that we're investing. And the volume of that was pretty good. And we expect that to continue in this quarter, RFP activity and win rates that we would project over those support this continuum.
Aleksandr Zukin: Got it. And you start -- I know you guys are cautioning us against this, but if you start drawing a trend line into the mix. The incremental mix of business going into subscription basis versus license or perpetual. Bigger picture question, over the next three years as -- while conversion activity may not change, if the net new customers coming in are coming in in the cloud modality, how does your financial profile either your margin CAGR or you margins or your earnings CAGR or your top line CAGR start to look or change over the next 3 to 5 years versus the previous 3 to 5 years if this is more of permanent mixed shift?
John Marr: I really think it's more a function of adding some lumpiness. And being a little light on revenue this quarter and then not occurring in next quarter. But I really don't think the top line growth rate over, say the next 3, 4, 5 years or margins will be significantly different. Obviously, if we are going to stay at that elevated level, there will be some lumpiness. And so the growth rate will be a little lighter in those quarter's. And then obviously, those new revenues -- those new elevated run rate revenues start to contribute and you benefit from the outside. But you're definitely not talking about more than say 100 or 200 basis points on the revenue side and then we talked earlier on the margin side, margins are pretty similar. License and maintenance margins pretty high. So it's hard for cloud revenues to exceed those. So I don't think there would be an impact on margins.
Brian Miller: And if you remember, license revenues are only 8%, 9% of our total revenues. We already are very heavy on the recurring revenues and have and more new recurring revenue streams there. So the impact on the short-term growth is still relatively modest.
Aleksandr Zukin: Got it. And then may be on Brian, you mentioned the CapEx investments for the incremental cloud capacity for fiscal '17, is there a way to get the sense of how we should with fiscal '18 just given this mixed shift?
Brian Miller: We did have some investments this year that were in our data centers and capability -- infrastructure capability around our cloud business that was to support future growth. So there was a little bit of investments sort of so ahead of growth. So we're working through our capital plans for next year, but I think generally those would -- those investments would grow in line with the revenue growth.
Aleksandr Zukin: Got it. And then last one from me on the research portal product. Is there anyway to quantify maybe the incremental TAM for this product if you were able to sell it all of your existing e-file customers? And is it possible we sold the dollar of e-file, how much of a dollar research would represent as incremental after that opportunity?
Brian Miller: Kevin, I think at this point, it's still new and emerging revenue stream. Like I said -- like we've talked about before, it's not just the portal itself, it's the opportunity also to offer some services directly to attorneys. The market still new. There's -- we talked customers certainly receptive. I do think the value proposition is -- will be different for the states that already have a unified system versus the County by County states. And so we're still looking at all of there.
Operator: Our next question will come from Kevin Liu of B. Riley and Co.
Kevin Liu: Just one question from him. As your more of your business shifted toward SaaS. Can you just talk about what sort of newer term that impact that has on your services business? And as you look kind of longer term, if you do the mix get towards this 50-50 type mix, would you expect that to kind of reduce the need for hiring on the consulting side going forward?
John Marr: Not really. The vast majority of the servicers are application related. Converting their systems, implementation, project management, training, those really don't change at all. There are obviously would be a small segment. Things they do from a system standpoint that we do in our facility. So there could be a modest shift from maybe the last 5% of the professional services we delivered to the site that we actually performed the data center as an internal function. But certainly, the vast majority of the services are related to the application. And we still need to convert their systems, train them, show them how to use those systems and support that process. And that doesn't change very dramatically based on where the system resides.
Kevin Liu: Got it. And just one quick follow up on kind of e-filing services or the research portal. Some of these newer attorneys services that you might offer, would those also subject to or more in the County by County states, or do you think it will apply pretty broadly across your entire Courts & Justice for e-filing basis?
Lynn Moore: No. I think they would apply in every state. These of services that would be marketed directly. I think there are states who have the -- who already have a unified system that still have an interest in this portal. And we have -- that would be something that would be tried to push toward throughout the entire client base.
Operator: [Operator Instructions]. Our next question will come from at Pat with JMP.
Patrick Walravens: I was trying to asked a little bit about the software bookings. So question I've been getting not sure how to answer it. So they were down 6% in Q3, and I get there was a difficult comp of 41% last year. But in Q2, you grew booking 16% and you also had a difficult comp, right of 37% last year? So I'm just wondering how was this quarter different than last quarter?
John Marr: It really relates more towards the big deals. So what comes -- what big deals they were in the previous quarter. Last year's third quarter, on the software side had a bigger number of not megadeals, the deals in $1.5 million to $5 million range. Obviously, some of those came in SaaS model this year.
Patrick Walravens: And Q2 didn't have big deals of last year?
John Marr: Q2 of last year.
Patrick Walravens: Last year. Because that comp was almost as big, right? That was a 37% software bookings.
John Marr: Talking on the software side or total bookings because…
Patrick Walravens: Talking on the software side.
John Marr: I don't know of that top of my head what was the comp was in Q2 '16 after looking into little further.
Patrick Walravens: Okay. It was 37%, but -- okay. And then my second question is bigger picture, which is -- so right now, the cloud-based business that's all entirely hosted data centers, right?
John Marr: One of them is completely hosted in our own facility and one, facility managed it.
Patrick Walravens: Okay. So what are the prospects for using third-party clouds, obviously what are the prospects for using third party.
John Marr: Very active -- we watch it very closely, actively monitor what's available on those sites and what the cost are. Currently, we still feel that we provide greater value, more flexibility. We think our clients like the fact that everything from our support people, our software engineers and the people managing the host of facility are all integrated into one solution and that still drives value. We do certainly believe that overtime hosting facilities can become more generic and more of a commodity. And the potentially the kind of weather size could potentially deliver the same service at a lower value, and we won't be that when that point's reached. So again, we monitor very actively. And we continue to think at this point in time, that there are advantageous to us continuing to host those facilities, but we don't have some aversion to doing this at other facilities when that appropriate.
Operator: At this time, there appeared to be no more questions. Mr. Marr, I'll turn the call back over to you for closing remarks.
John Marr: Great. Well, thank you, and appreciate everybody joining us in the call today. If you do have any further questions, feel free to contact, Lynn Brian and myself and will be happy to work with you. Have a great day.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect your lines.